Operator: Good morning and welcome to the Brown & Brown Incorporated 2015 First Quarter Earnings Call. Today’s call is being recorded. Please note that certain information discussed during this call, including information contained in the slide presentation posted in connection with this call, and including answers given in response to your questions may relate to future results and events or otherwise be forward-looking in nature. Such statements reflect our current views with respect to future events, including those relating to the Company’s anticipated financial results for the first quarter of 2015 and are intended to fall within the Safe Harbor provisions of the securities laws. Actual results or events in the future are subject to a number of risks and uncertainties, and may differ materially from those currently anticipated or desired or referenced in any forward-looking statements made as a result of a numbers of factors. Such factors include the Company’s determination as it finalizes its financial results for the first quarter of 2015 that its financial results differ from the current preliminary unaudited numbers set forth in the press release issued yesterday. Other factors that the Company may not have currently identified or quantified and those risks and uncertainties identified from time-to-time in the Company’s reports filed with the Securities and Exchange Commission. Additional discussion of these and other factors affecting the Company’s business and prospects, as well as additional information regarding forward-looking statements is contained in the slide presentation posted in connection with this call and in the Company’s filings with the Securities and Exchange Commission. We disclaim any intention or obligations to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. With that said, I would now turn the call over to Powell Brown, President and Chief Executive Officer. You may begin.
Powell Brown: Thank you, Kristy. Good morning everyone and thank you for joining us for earnings call for Q1. We’re pleased with our results for the quarter, so let’s get right into the key points. On Slide 4, you’ll see we delivered $404.3 million of revenue for the quarter, growing a 11.2% and 3.8% organically. Each of our four divisions delivered organic growth. The overall market conditions continue to improve with the exception of a few areas, which we’ll cover on the next slide. Our GAAP earnings per share was $0.39, growing 8.3% for the quarter, excluding the change in acquisition earn outs payable, we grew our earnings per share at 5.3% to $0.40 a share. As part of our capital allocation plan, we initiated a $100 million accelerated share repurchase program during the quarter. This repurchase is part of the $200 million plan approved by our board of directors in the second quarter of 2014. We anticipate the completion of this repurchase during the second quarter of this year. Upon completion we will have then $50 million that still may be repurchased under the approved $200 million plan. Lastly, during the first quarter of 2015, we acquired three agencies with annualized revenues of approximately $12.6 million. While there are lots of potential transactions out there, we continue to see aggressive pricing for acquisitions. We continue to be very disciplined in what we pay, as we’re looking for organizations that fit culturally and makes sense financially. Slide 5 provides additional color on some noteworthy items impacting the market. We’re seeing some areas with good economic improvement and associated exposure unit growth, such as Indianapolis, Atlanta, Portland and numerous cities in Florida. They’re doing much better than a year ago. However, any communities with significant oil related businesses have slowed significantly. We also experienced further uptake in our private exchange during the quarter, but adoption continues to be slow. We continue to see small and medium sized employers evaluate the public exchanges, technology and plan design alternatives. Those may include partial self-insurance in order to manage cost. With the excess capital on the market, along with the prolonged period of limited weather events, coastal property rates remain under significant pressure. Also admitted rates continue to moderate downwards. However, we’re seeing commercial auto rates generally trending up, but that really depends on loss experience. With all of the excess capital on the market and our large distribution network and capabilities, we continue to see interest in our various programs and wholesale offerings. With a lack of weather events, several of our claims processing businesses are operating at historical lows for revenues and operating profits. In summary, we’re pleased with our organic revenue and earnings per share growth for the quarter and this was all made possible through the hard work of our more than 7,700 team mates. Now, I’ll turn it over to Andy to discuss our financial performance in more detail.
Andy Watts: Great. Thanks, Powell and good morning everyone. Before I get started, I want to let everyone know that we had some adjustments to prior year’s division on numbers in order to reflect our current year segmental structure. So if you’re looking at last year’s presentation from the first quarter, you’ll see a few material changes within the divisions. Let me go ahead and get started with our financial results and talk about some of the key metrics for the quarter. On Slide 6, it shows our GAAP results. I’d like to highlight that we delivered a 11.2% revenue growth in the quarter and are very pleased with our 3.8% organic revenue growth. I’ll talk more about margins and key drivers on the next slide. Our earnings per share grew 8.3% and our weighted average number of shares outstanding decreased by 1.3% year-over-year, primarily driven by our share repurchases in the second half of last year. Moving to Slide 7, in similar to previous quarters what we try to present on this slide is a better view of our underlying performance. The amounts presented are the as reported GAAP results, which were then adjusted for the change in estimated acquisition earn out payables. On the right hand side of the slide, we removed the results of Wright due to the large size of that acquisition and the lack of comparability with the prior year. As we previously discussed, the revenue associated with Wright is seasonal and the expenses have less variability. Consequently Q1 is the lowest revenue in margin period for the business. Overall the Wright acquisition is performing well across its three business lines. Later we will talk about the quarterly performance and outlook. While our total revenues grew 11.2%, when we separate the revenues related to Wright, we grew the top line by 4.2%. Our adjusted pretax income grew by 2%. The additional interest of cost associated with our credit facility and bond impacted income before income tax by approximately 3 percentage points. We believe EBITDAC is the most appropriate measure for comparing our performance across periods as it has a closed proxy for cash generation. EBITDAC for the quarter was $131.8 million compared to $119.5 million last year. A growth of 10.3% and excluding Wright, our EBITDAC growth was 4.1%, thereby growing in line with underlying revenues. Excluding Wright, our EBITDAC margin decreased by 10 basis points which was driven by lower contingence and lower gains on sales versus the prior year. We continue to see EBITDAC margins in the 33% to 35% over the long term. Net income for the period grew 2.9% on an as reported basis and excluding Wright by 2.7%. This was primarily impacted by the incremental interest expense of $5.8 million in the first quarter as compared to the prior year. As a reminder our credit facility and public bonds provide us with capacities to draw upon for acquisitions when they become available. They extend our maturity ladder and reduce our exposure to rising interest rates. By capitalizing on the favorable credit markets, our blended cost of debt is now 3.3%. Partially offsetting the increased interest expense was a lower effective tax rate of 39.3% for the quarter, compared to 39.6% for Q1 of last year. The lower rate for Q1 of 2015 was driven by some tax credits that will primarily only be realized in Q1 of this year. We anticipate are effective rate to be around 39.5% for the remainder of 2015 as we continue to model the impact of recent finalized state tax law changes primarily in New York state. Adjusting earnings per share increased to $0.40 in the first quarter, which was a $0.02 or 5.3% improvement over the prior year. Moving to Slide 8, I’d like to highlight the key components of our revenue performance for the quarter. We talked about our total revenue and when you look at the components, the largest driver was from net acquisitions delivering $36.1 million, followed by organic growth $12.2 million and then the changes in contingence in guaranteed supplemental commissions that declined $1.5 million and other revenue that declined by $1.1 million. We realized a $1.5 million decrease for the contingence in GSCs, which were substantially related to our Proctor business that is in our National Programs Division. Please remember that Proctor realized $3.3 million of incremental contingence in the fourth quarter of 2014, as the Career completed their calculations early, with about $2 million of this coming from the first quarter of this year, which moved into the fourth quarter of last year. We expect Proctor’s contingence to be realized in the fourth quarter of this that had been informed from the Career that they expect the amount to be materially below 2014 due to loss experience. Please take this in consideration when building your outlook for the reminder of the year as the goals for contingence and GSCs does not appear to be in line with organic revenue growth. Moving to Slide 9, and we talk about each of our divisions in a bit more detail. Our Retail Division delivered 6.2% growth partially driven by acquisitions completed within the last 12 months and our underlying organic growth was 1.6%, our year-over-year EBITDAC margin decreased by 90 basis points, which I’ll talk more about in a moment. Let’s talk about revenue growth first as we know everyone is always interested in how Retail is doing. Well, there are three main factors that need to be considered when evaluating the performance of the Retail Division for this quarter. First, is that there has been a change in the state of Washington regarding a loss governing association health plans. Last year the insurance commissioner changed the states historical approach to Bonafide Association. As a result, several of our association health plans had to terminate. We’ve lost about $1 million of revenue in the first quarter of this year, which impacted retail organic growth by about 60 basis points and EBITDAC margins by 25 basis points. We expect our state of Washington association health plan business to be down approximately $1 million each quarter for the remainder of 2015 and have an impact on margins. Second, is that CAT property rates continue to be under pressure as Powell mentioned earlier. While we are still seeing our commercial lines businesses growing year-over-year, their growth has been impacted versus last year as CAT property rates are down 10% to 20% or in some cases even more. We’re also experiencing rates for middle lines of business further moderating downward with the exception of commercial auto. And third is that we are continuing to see small and medium size employers evaluate policy exchanges, technology and plan out design alternatives to manage their cost. As we stated on previous calls, it is not unusual for our reported quarterly EBITDAC margins to fluctuate as we make incremental investments in our businesses that will drive future results. Therefore, we expect divisional margins will [indiscernible] as a result of this activity. Moving to Slide 10, our National Programs division, revenues grew by 29.9% mainly due to the acquisition of Wright. We continue to experience good growth in personal property, automobile after market, Sports and Entertainment and we continued to see interest from careers in leveraging our broad distribution platform. Offsetting some of this growth was our Florida Intracoastal Underwriters business which is experiencing intense pressure on rates which is also affecting contingence. During Q1 of this year we recognized about 1.4 million of differed revenue at Proctor, excluding this revenue organics growth Programs Division would have been approximately 2.1%. The primary drivers to the 270 basis point margin compression for the quarter are the seasonality of Wright, which we discussed earlier and the impact of the shift in contingence for Proctor. Overall, we are pleased with the performance of our Programs Division for the quarter. On to Slide 11, our Wholesale division had another great quarter reporting revenue growth of 3.6%, an organic growth of 7.3%. This differential is related to the sale of Axiom Re that we completed in the fourth quarter of last year. The Binding Authority and Brokerage Businesses both contributed to the positive result for the first quarter and we continue to see growth across most business lines. We are seeing more net new business and we are leveraging our deep career relationships to help provide innovative solutions for our customers, even while facing major downward pressure on coastal property rates in the range of 10% to 20% or more. The Wholesale Division delivered EBITDAC margin improvement of 290 basis points. Approximately 100 basis points of this improvement is associated with the disposal of Axiom Re. This business generates significant lower margins than the average for the Wholesale Division. Even with this item excluded, the margins improved by close to 200 basis points. Similar to last year, we do expect that margins will fluctuate on a quarterly basis due to investments. So please do not model or expect this type of a margin expansion every quarter. On to Slide 12 and to our Services Division, we delivered impressive organic growth of 10.5% for the quarter. This growth was partially benefitted by some non-recurring revenue realized by one of our TPA businesses. Excluding this revenue, organic growth would still be approximately 8.5% which is very impressive. We realized strong growth in most profit centers with the exception of our claims processing businesses that are dependent on weather events. The largest driver of organic growth is from our social security advocacy business. In addition, our workers compensation claims processing business continues to benefit from a large new client we won in the second quarter of 2014. Please keep this in mind when you are updating your models for the second quarter as the organic growth rate for services will probably be in the low single digits. Our margin expanded for the second quarter as we continue to operate efficient claims processing businesses. So in summary, we are pleased with the top line growth and flow through for each of our divisions. Moving to slide 13, in the second quarter of last year, we provided ranges of where we expect Wright to perform for its first fiscal year, which is the second quarter of last year through the second quarter of this year. The performance of the underlying business is in line with our expectations. As we mentioned previously in 2014 the original forecast included $7.5 million of revenues for weather events. For reference, this was based upon the 10 year average excluding hurricane Katrina and Superstorm Sandy. Due to the lack of storms, the first fiscal year for Wright is expected to be below this historical level. Please note there is a small amount of CAT revenue included in the projection for the second quarter. With that let me turn it back over to Powell for closing comments.
Powell Brown: Thank you, Andy, for a good report. I’d like to conclude our remarks with two topics. One, acquisitions and two, retail. As you heard us say we acquired $12.6 million of annualized revenues in Q1. We’ve looked at a number of acquisitions that did not fit culturally or we could not come to an agreement financially. Sellers were focused on many things, but the money is a big one. As you know, we are disciplined buyers. In 2006, 4% of the announced transactions were done by private equity. In 2013 and 2014, private equity did 44% and 43% respectively. There is a lot of activity in the acquisition space and some are willing to pay amounts we won’t. This is not to say that we cannot do acquisitions, but to give you a flavor of the acquisition landscape, we continue to think they are opportunities, but they tend to come in waves. Now on to retail, we’ve grown retail organically 12 quarters in a row. Retail internal growth for 2012 was 1.3%, for 2013 it was 1.3% and 2014 it was 2%. What are we doing? We’ve made incremental progress overtime. If we take out our bottom five retail offices which represent 8% of the retail revenue, our internal growth would be 2.9%. The change in the Washington association health plans is done. We’re down a million in Q1 and expected to be down a million in each of the following quarters in 15’ and that’s by a law change. The other four offices we have an intense focus on to improve their performance. In closing, we feel good about our overall performance for Q1 and each division is positioned for ongoing profitable growth. We are also continuing to evaluate internal investments, external acquisitions and returns to shareholders in the form of dividends and share repurchases, all with the goal of long-term stock appreciation. With that I’d like to turn it back over to Kristy, to open it up for questions.
Operator: Thank you. [Operator Instructions] And we’ll take our first question from Elyse Greenspan with Wells Fargo.
Elyse Greenspan: Hi, good morning, just a few questions. The first is, there have been some headlines recently concerning the National Flood Program and I know Brown & Brown obviously had a decent amount of exposure through the Wright acquisition. If you could just kind of comment on what’s going on their potential exposure and I guess your outlook on your continued, I guess Wright’s continued involvement with the National Flood Program going forward.
Powell Brown: Okay. Good morning, Elyse. First, we are committed to warn our policy holders, Wright flood and our partnership with FEMA. This is a complicated situation, but [indiscernible] we’re committed to working through the issues to the best result for our policy holders. These events as you know occurred before we purchased Wright. It is our standing position not to comment on ongoing litigation, but we are working through the issues to the best result of our policy holders.
Elyse Greenspan: Okay, just one follow-up question on that. Did that happen before you guys completed the acquisition? Would you be kind of on the hope [ph] or do any kind of, you can push back if there were some kind of finds to Brown & Brown through the owner Wright proceeding on you purchasing it?
Powell Brown: We will be evaluating all forms of expense reimbursement.
Elyse Greenspan: Okay and then a couple of other questions on in terms of on the things like the non-harms stock based compensation was a bit lower on a quarterly basis earlier than you had guided to for the year, anything on that or that was changed [indiscernible]?
Andy Watts: Hi, good morning Elyse. No, nothing unusual in nature, I think the range that we still gave somewhere around $7.5 million, again it’s going to - will float a little bit by quarter, but no unusual underlying changes there.
Elyse Greenspan: Okay and then if we think about the retail segment and I appreciate the added color to this quarter, obviously we know now the impact the arms change in Washington, but as we think on just kind of go into colors [ph] of the balance for 2015 to directionally putting everything together that you said, would you expect it to pick up overall level of growth from what we saw in the first quarter?
Powell Brown: Elyse, like I said, we don’t give specific organic growth guidance. We’ve said that retail business is a load of mid-single digit organic growth business.
Elyse Greenspan: Okay, and then on the margin side, I know you’d mentioned and then talking of some of the segments that internal investments that you guys have been making. Is there any ways for us to better break out the overall impact that these investments are having on your margins? Is there a way that you can kind of pinpoint that either of those segments on just on a consolidated basis?
Powell Brown: We have not come up with a way to do that yet Elyse. Quite honestly, we have been making internal investments in our business since the beginning of time. It’s just we have articulated it to make sure that everybody understand that in order to continue to provide the services and capabilities to our clients that’s all around people and systems and capabilities. So we really haven’t broken it out and it’s something we’re going to continue to do. We’ve said in the past that we’ve allocated 1% of our total revenues annually to a peoples fund, which is a way that we help defray some of the cost at the local office level when we’re hiring people that are originally in their budgets, but that’s the full extent of which we’ve shared in the past.
Andy Watts: And Elyse, I would also add to it. If you remember last year, we had a lot of conversations about wholesale, right. During the first half of the year versus second half and we were making investments in team mates and it kind of flows back and forth. Yes, just kind of keep that as the backdrop as we continue to go through overtime, but utilize that 33% to 35% as the range that we’re trying to seek to operate inside upon the EBITDAC margins, okay.
Elyse Greenspan: Okay, thanks so much and thanks for taking my questions.
Operator: We’ll go next to Kai Pan with Morgan Stanley.
Kai Pan: Good morning. Thank you for taking my call. The first question is probably it’s on the acquisition side, you mentioned you see increasing competition particularly coming from the private equity funds, what were you exactly talking about in terms of pricing differential? Is there quite a big gap between like from private equity can offer and you’re willing to offer?
Powell Brown: Well, you’ve heard us talk about before that pricing and it all depends on what you’re definition of EBITDA is. So I always like to say, there’s the devils and the details, but when you hear about eight and nine and ten times an EBITDA multiple, what EBITDA are you talking about, but at the end of the day there are certain things that private equity for example maybe willing to do in the short-term that we would not be willing to do. And so I’m not going to say it a multiple amount per say, it’s just an amount that is in excess of what we think is the asset would be worth and so in the event that occurs we pass. We saw a situation recently where we were involved in one - what’s not private equity, an insurance company bought something and it was a business that we thought there was a good cultural fit, but it was not something that was to happen. And sometimes you see insurance companies as you know, buy businesses to augment their underwriting capabilities or to get premium. So every scenario is different, but what I’s just say, as you know that in the private equity space there is a lot of money, there’s washing around out there and they’re looking to put it to work and at some point they’ll have to see if the amount that they paid for those acquisitions will pan out or not.
Kai Pan: That’s great color and then if you were just slowing down in terms of either market doesn’t give you opportunity to do more acquisitions, will you achieve the capital deployment because you’re building cash position more to shoulder returns?
Powell Brown: Well, as you’ve heard us say before. We constantly talk with our board of directors about the three buckets of one which we invest, the cash we earn. One is internal investments; two, would be external acquisitions and three, return to shareholders via either share repurchases or dividends or both. And so that’s a constant and ongoing discussion and so we have to constantly evaluate the opportunities that are presented to us and as I’ve said in the past, acquisitions are somewhat lumpy and so they come in waves and so if the acquisition - in your case, if the case acquisitions went on - lack of acquisitions went on for a period of time then we would evaluate and look at some of those other options more closely, but having said that, one quarter for example, does not make a trend into my mind in the acquisition space.
Kai Pan: Okay, last question is to the - like contingence and the lender-placed business. Could you clarify that in the first quarter, your lender-placed business have pull forwarded [ph], they have about $3.3 million of revenue and about a two of that are coming pull forward from the first quarter, so that’s why your contingence commission is lower?
Andy Watts: Exactly Kai, so they allow just able to [ph] complete their calculation in the fourth quarter of last year and we had higher contingence in the fourth quarter, about $1.3 million plus the $2 million from Q1 that pulled forward, so that’s where the $3.3 million came from. And then the two is why we’re down from the first quarter.
Kai Pan: Okay and you also mentioned, I think it might be related. In the National Program, you have one off situation about $1.4 million coming from the business as well?
Powell Brown: It was yeah, we had some differed revenue that we were able to recognize finally. That will not be anything that will recur on in nature, so that’s why we want to call it out as a onetime item.
Kai Pan: And lastly you mentioned, you said, in 2015, from the lender-placed business will be material lower, could you clarify that?
Andy Watts: Yeah, so that was on the contingence Kai. So just as we recognized $3.3 million last year, right now expectations are that we will recognize the contingence [indiscernible] in the fourth quarter of this year. But they have come back and told us that they’re expecting for those to be materially lower this year because of loss experience. So we don’t want to highlight that just to make sure that you model it accordingly in the fourth quarter.
Kai Pan: That’s not relating to like pulling forward from the first quarter of 2016, okay.
Andy Watts: Yeah, that’s about loss experience from the previous year, now playing itself through in the calculation.
Kai Pan: Got it. Thank you so much for the answers.
Andy Watts: Sure you got it.
Operator: And we’ll take our next question from Josh Shanker with Deutsche Bank.
Josh Shanker: Good morning everyone. Following up a little bit on the question of share repurchase and evaluating that. In the past you’ve said that you don’t want to use your stocks to do acquisitions with your stocks for too valuable, but you’ve also said that in the past that you didn’t want to repurchase shares because I think as Andy put it, at high once said [ph], it’s like eating your young, which kind of puts in you in a conflict. Given that you’re buying back shares now, why not just have a bigger authorization out there, since it’s not an obligation to buy and how long would you sit on cash before you would do something with it? I guess there is a bunch of questions there, but I want to hear a little bit about the philosophy, about how things have changed at Brown & Brown and I guess why you wouldn’t have a bigger potential appetite out there depending on what happens in the future.
Powell Brown: Okay. So Josh, you are correct in the comment about my father making the comment about eating your own or whatever. Having said that, there was also in a period time where purchase price for acquisitions was in a much different place. And so you’ve heard me say, over a period of time that we don’t like use the term never or always. Having said that, we continue as we’ve said to evaluate all of the options that we have and in light of some of the increased purchase price multiples on some of the transactions, we have looked at the value of our stock and the possibility of buying some of that back up which we have done and we were given an authorization of $200 million last summer with no obligation to buy it as you know. Although some people in the investment community have made the assumption that we will use that entire authorization and we may or we may not. We have $50 million outstanding as we complete this current $100 million ASR. But we will continue to talk to the board about how we deploy our capital and if they see fit relative to giving us another authorization to repurchase in the future, then we will continue to weigh and measure that. But what I’d like to say is this, you cannot anticipate, you the collective, everyone on the phone call and we cannot collectively anticipate at Brown & Brown is when we’re going to have opportunities presented to us like an Arrowhead or a Beecher or a Wright and so we continue to like to be in a position to be able to do the transactions that come along when they come along. So we will continue to evaluate the stock repurchase and the cash that we have on hand and how we deploy that cash.
Josh Shanker: And so right now you are generating probably about $350, $400 million of operating cash flow a year, that could be even higher than that, but you also are running with higher debt levels than you have in the past. You guys have tended to be like a low debt balance sheet. Is there any intention on your part that you know you have a low coupon on that debt that you want to retire it for flexibility reasons or can you imagine that that’s a low priority on things that you would do with cash?
Powell Brown: Yeah that’s a low priority on what we would do with cash. We actually set up our debt structure to provide us with flexibility which we believe that we have and we’re very pleased with what the structure is that we have in place right now. You are correct in saying that we had a lower debt to EBITDA leverage in the past and we as an organization have evolved relative to how we view that. I’ve said publically that we think that having a 1.5 to 2 times debt to EBITDA would be a comfortable area. Would we go above that for a specific transaction in a short term, we would consider it, but we are continuing to evaluate all those options, but we are very pleased with our debt structure and that would be a low priority.
Josh Shanker: Okay. Well, thank you for all the answers and good luck with the rest of the year.
Powell Brown: Thank you.
Operator: We’ll take our next question from Mark Hughes with SunTrust.
Mark Hughes: Yeah, thank you. Good morning. More broadly, within the benefits business you’ve talked about the impact of the changes in Washington on your organics growth. How about just a more generally speaking healthcare reform I think Andy, you’ve made some comments recently about how there’s been a headwind on organic because of the changes in commission payouts within the benefits segment. How much of a headwind has that been? How far along are we in kind of working through that? How much longer will it be a drag on the business?
Powell Brown: Well, let’s make a broad statement first Mark. Number One, ACA has created great uncertainty and with that we believe it creates great opportunity, but in that it is somewhat still being defined. So it’s an evolving process. So to your question specifically, we’ve had some of our small business, small business depending on the state might be defined as under 50 or under 100 or some variation they have where they’ve gone from a commission level to a per head per month you’ve heard us say that before. Now, that’s driven more a local and statewide basis rather than a national basis. So we’ve had a number of states that have gone through pieces and part of that, but there are still other states that haven’t or they have not adopted it 100% across the board, that’s number one. Number two, I know you are very mindful of the changes that people are making in plan design. That plan design could be defined as a higher retention or deductible for an employee or a fixed amount of a contribution like a defined contribution amount and you can purchase whatever health plan you want more like a 401k kind of scenario. But in the larger group, there continues to be all kinds of uncertainty which creates greater opportunities for growth for us. So what I would tell you that we are seeing is in the smaller group there’s lots of discussions about alternatives, alternatives meaning state exchanges, private exchanges. How can they continue to offer benefits to their employees? Some of which may opt out down the road overtime and we continue to advice our clients as we come down with some of the very interesting regulations that have unintended consequences like the Cadillac Tax for 2018, so more to follow on that Mark, but we continue it’s still a work in progress.
Mark Hughes: If you’re a retailer of low to mid-single digit organic, is benefits a drag on that?
Powell Brown: It depends overall, in an office that has a lot of smaller stuff. It might be a slight drag or flat, on an office that has a more medium large to larger accounts. It’s a growth - it’s growing.
Mark Hughes: On the Wright business, when it rose into organic growth, is it going to be accretive to organic growth and I guess underlying that is if we look at the volume in pricing within the flood insurance you’re sort of putting the claims business to decide in the underlying flood business. Is that growing on a kind of a national basis? Are you taking share and what does that mean when it rolls into your organic growth there?
Powell Brown: Right, Mark, if you remember Q1 is the smallest quarter, so the big quarters for flood will be Q2 and Q3 and so it will be a little premature to answer that question relative to - based on factual information, but what I would say is our team mates at Wright or are talking to retail agents across the country and working really hard to service and meet their service needs of their flood books and we’re very pleased with the relationships that not only that they’ve developed in the past, but those that they’re working on in the future. So we’ve got to get into, as I’d like to call it flood season which really starts in earnest May.
Andy Watts: Mark, probably other thing keep in mind we’ve had a lot of people ask us about the pricing and should that as a result drive incremental revenues in the business. I think what we would say right now based upon what we know is, well, the pricing will drive some upside. There is also a lot of re-mappings that are going on around the country, specifically just south of - here at Broward county they just remapped a lot of those that made them no longer required, so we think it looks like it’s about a push at this stage. We just don’t know exactly until we start working through the details. So, because we would say don’t bake anything into the model for up sight on that one right now until we get through it, we think we got to push there. The other thing I want to just mention. We looked at a lot of everybody’s models for the second quarter and just to remind everyone, we did this acquisition in May of last year. So there’s only one month of the second quarter that does not have comparative revenues. It looks like a lot of folks have put three months of incremental revenue in there. So there is basically a two thirds double count, so if you could double check your models on that one. We can also follow up after the call.
Mark Hughes: Then a quick final question there, share count for 2Q, did you have earlier thoughts on that Andy?
Andy Watts: If you were to take the - well, when it comes out at the end of this month and you look at our footnote that should be a pretty good indication for the second quarter. The only movement there would be the final settlement of the ASR, but that should not be a material number since most of those shares were pulled out late in the first quarter.
Mark Hughes: You don’t happen to have that number, do you?
Andy Watts: No, I don’t have it with me right now.
Mark Hughes: Thank you.
Operator: And we’ll take our next question from Meyer Shields with Keefe, Bruyette & Woods.
Meyer Shields: Thanks good morning. If we adjust the first quarter contingence for the $2 million [indiscernible] pushed forward, it’s up about 1.5%, does that seem like a reasonable representation of what we should see besides the first place business for the rest of 2015?
Powell Brown: Yes. Hey, good morning Meyer. I think with our earlier comments is, we probably just were giving some guidance to be a little bit conservative there specifically our FIU business, the Florida Intracoastal Underwriters, we are seeing quite a bit of pressure on continues, there just won the offer of the fact [ph] that rates are down and that will cause - that’s going to cause some pressure on the back end of the year. But we’d say probably our recommendation is don’t model on organic growth rates because that is not what we’re seeing right now.
Meyer Shields: Okay that’s helpful. A couple of years ago I guess there was the expectation that the aftermarket program in on standard auto you were a little bit limited in terms of immediate margin expansion, but that would alleviate overtime. Can we get an update on that?
Powell Brown: Sure the answer is we are working towards that and we’re pleased with the performance. You’re correct in saying in the first 18 to 24 months we had a commitment relative to that and relative to staffing levels and some other things. We’re very pleased with the teammates that have come over and the performance so far. We also have the capability now to - we’re expanding in certain instances based on working with our trading partner there on their technology platform. So we may not be out in the distribution broadly as quickly as we both had wanted, but we’re getting there. So the margins are improving there. They are not yet at historical margins for the area, but we’re moving towards that.
Meyer Shields: Okay, and then one last question if I can. The Washington issue, does that reverse itself in 2016 or if we just assume that plans are terminated, you feel the impact this year and then they’re just not relevant.
Powell Brown: Yeah, no we don’t see it reversing itself in 16’, Meyer. I think the issue, as we can understand it and talking with our teammates out there is, this is not something that seems to be beneficial to the actual clients themselves. So down the road could there be something else that would present an opportunity, I don’t know, but right now we’re operating that. We don’t think that there is a way to recoup that revenue in the form of the association business that we currently have or is currently being terminated.
Meyer Shields: Okay thank you very much it’s very helpful.
Powell Brown: Thank you.
Operator: [Operator Instruction] We’ll take our next question from Ryan Byrnes with Janney Capital.
Ryan Byrnes: Good morning guys just wanted to drill down a little bit further on the employee benefit book. I kind of have a note here saying, there was about $250 million in annual revenue. But I was wondering if you guys could kind of quantify I guess the small business unit, which is experiencing some pressure versus kind of I guess the more medium to larger scale lives business and which obviously has some opportunities going forward.
Powell Brown: Okay, so Ryan good morning. If you remember we basically said in the past, it’s about $150 million of health and about 100 million of ancillary lines. So let’s start with that. The second part is, we’ve said, about just over half of that 150 would be under a 100 lives. That’s how we’ve articulated it in the past. We have not broken it out in any other format relative to layers and slices and all that other stuff, but sufficed to say that we are working very hard on solutions for both segments meaning the smaller group and the larger group. We believe that there continues to be an evolution on the small group or technology will I believe continue to play a bigger and bigger role and depending on how and what state you are in and how you have viewed state exchanges versus national exchanges and subsidies. That may play a role into it as well, that does not diminish the fact that on our larger clients, technology is categorically a solution and so the discussion is more than just a discussion around healthcare cost. It’s a discussion around ancillary benefits. It’s a discussion around voluntary benefits. It’s a discussion around wellness. It’s a discussion around a bunch of things. So as you break down think a 100 million of ancillary’s of the 150 left just over half of that under 100 lives.
Ryan Byrnes: Oh great that’s great color. And then just comment my last [ph] - so my second one was, are these kind of - the changes in regulation in Washington is that a unique program to Washington or - and I guess or a unique change in the law or could that impact other states as well that they would have any sort of impact to Brown?
Powell Brown: Yeah, to the best of our knowledge this is the only state - well let me back up. This is the only state where we have written associations like this, that’s number one. Number two, we’re not aware of the similar or related type of business inside of Brown & Brown that would be affected that comes right to my mind law change by an insurance commissioner. But as you know, all of our business continues to be subject to the ACA and the implementation and more importantly the changes in the interpretation I think is the important thing. The interpretation of the law is continuing to evolve and you would like and we would like, so we’re together with some [indiscernible]. We would like absolute clarity and transparency, there is not absolute clarity and transparency in ACA. Now, that does create opportunities, but it continues to create a lot of disruption.
Ryan Byrnes: Great, thanks for the color guys.
Operator: And we’ll take our next question from Adam Klauber with William Blair.
Adam Klauber: Good morning, thanks. In Wholesale Division, how are submission levels compared to may be six, nine months ago?
Powell Brown: Submission levels are up.
Adam Klauber: Okay, so they’re still robust?
Powell Brown: Yeah, they are robust. See, what I would tell you Adam is this, you got a significant rate pressure on the CAT property, so that’s in the brokerage side. Remember 60, just under 60% of our overall business is binding authority and there’s downward pressure on that property as well, but not as much as the CAT property.
Adam Klauber: Okay and then one of your competitors AmWINS, did a quarter share to a [indiscernible] alternative capital provider. Are you working at similar transactions in that division?
Powell Brown: We always look or confidently looking at solutions and alternatives in both Wholesale and our Programs businesses. From a stand point of what they have done and some other competitors, we have not done that in the history yet at Brown & Brown. I’m not saying that we would not consider it, but at the present we have not considered it seriously.
Adam Klauber: Okay, thank you. And then sorry if you say, what’s going on with workers comp rates right now?
Powell Brown: Depending on the state they’re either - they could be flat, they could be up slightly, depends on the state as I like to say places like California, it’s always the wild, wild west literally and figuratively. You look at places like Florida and other places around the country, it’s a mixed bag, up, down or flat.
Adam Klauber: Okay, thank you very much.
Operator: And we’ll take our next question from Charles Sebaski with BMO Capital Markets.
Charles Sebaski: Good morning. I had a question on the Wright flood program and some of the press reports we’ve read about what’s going on with congress in that program. And some of the politicians and I don’t know if you think it’s just politician speak, but regarding the Wright flood, the claims issues about potentially revoking national flood charter authorization and if you view that as at least a potential or as any legitimacy of potential outcome and if so would you guys have any recourse back against the outlined partners in reps and volunteer anything else, if the worst case scenario you lost a charter for the Wright flood insurance program?
Powell Brown: Okay, so the answer to the question is, we have our Wright flood renewal that comes up annually in October, that’s number one. Number two, this is a - as I said earlier, a complicated situation and there lots of people who are working towards solutions for the constituency and so there will continue to be a lot of - we believe a lot of discussion around this particular topic. We can only suffice to say or committed to number one, our partnership with FEMA; two, to our policy holders and our teammates at Wright flood and we’re committed to work through the issues as they sit out there to the best result of those policy holders. Anything else would be pure speculation and we wouldn’t want to speculate on that.
Charles Sebaski: But would you have recourse back against outline or in the advent of something adverse happened?
Powell Brown: Like I said Charles, I would prefer not to speculate on that.
Charles Sebaski: Thank you very much.
Operator: Thank you. That concludes today’s question and answer session. Powell Brown, I’d like to turn the conference back over to you for any additional or closing remarks.
Powell Brown: Okay, Kristy. Thank you all very much and we look forward to talking to you after the Q2 release. You all have a nice day and thank you very much.
Operator: That concludes today’s conference. Thank you for your participation.